:
Operator: At this time I would like to welcome everyone to the Lindsay Corporation 2010 first quarter conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. (Operator Instructions) During this call management may make forward-looking statements that are subject to risks and uncertainties and which reflect management’s current beliefs and estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words expectations, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Rick Parod, President and Chief Executive Officer.
Richard W. Parod : Revenues for the first quarter of fiscal 2010 were $86 million, 24% below the same prior year quarter and up 17% from the fourth quarter of fiscal 2009. Net earnings were $6.7 million or $0.53 per diluted share compared with $6.3 million or $0.51 per diluted share in the prior year’s first quarter. US irrigation revenues were $32.8 million for the first quarter decreasing 39% over the same quarter last year and rising 12% over the fourth quarter of fiscal 2009. The first fiscal quarter is traditionally a low revenue quarter for irrigation equipment as farmers are typically focused on harvest activities. It is likely that the late and protracted harvest this fall also negatively impacted equipment demand. The comparable first quarter of fiscal 2009 reflected a record first quarter irrigation revenue working off a record backlog from the end of the previous fiscal year. Agricultural commodity prices were relatively stable when compared to the same time last year and in general lenders for irrigation equipment purchases in the US remained willing and able to finance purchases. However, there are indications that requirements for obtaining financing have become somewhat more stringent. International irrigation revenues were $20.5 million for the first quarter, 37% lower than the same period last year and 20% lower than the fourth quarter of fiscal 2009. Irrigation revenues decreased in most regions outside of the US partially offset by increases in Mexico, Brazil and Europe. The Brazilian market has shown fairly strong signs of recovery driven by increased sugarcane production for sugar and ethanol. Cane production in Brazil is estimated to be up approximately 7% over the previous year. In Europe the higher revenues were in the traditional markets of Spain and France and revenues were lower in the CIS countries still impacted by funding availability. For all markets irrigation segment revenues were $53.3 million, down 38% from the same quarter last year. Approximately 85% of the revenue reduction was in unit volume due to the significant changes in the economic environment and the remainder in lower unit prices passing through reductions in input materials. Long term market drives of expanding fuel and bio fuel production and improving water use efficiencies through mechanized irrigation systems remains very positive. Infrastructure revenues were $32.7 million in the quarter increasing 20% from the first quarter of last year and up more than 75% over the fourth quarter of fiscal 2009. Approximately 80% of the revenue for the $19.6 million project in Mexico City was realized in the first quarter and the remainder is expected to be realized in the second fiscal quarter of 2010. The anticipated project lists for barrier systems, traffic mitigation systems remains very strong. The timing of orders for these projects is uncertain and currently difficult to forecast in the present economic environment. Numerous projects have been delayed during the past year due to funding limitations or uncertainties. While additional roadway projects have resulted from the federal stimulus package, future projects may be impacted by the uncertainties surrounding the passage of the new multiyear federal highway funding bill. Multiple short term extensions of funding are expected before any serious activity is undertaken to pass a multiyear bill due to apparent other priorities. While barrier system revenues were significantly higher in the quarter due to the project in Mexico, diversified manufacturing revenues were down approximately $5 million from the same quarter last year on lower commercial tubing and contract manufacturing revenues. Overall gross profit was $25.8 million for the first quarter versus $28.6 million in the same quarter last year. Gross margins increased to 30% compared to 25.3% for the first quarter last year. Infrastructure gross margins increased on higher revenues and a favorable product mix while irrigation models remain stable. During the quarter, steal prices remained relatively low and average irrigation equipment prices remain unchanged from the fourth quarter of fiscal 2009. Recently, steel prices have moved higher and are expected to rise further in future months. Total operating expenses for the quarter were $14.6 million versus $16.8 million in the same quarter last year. The $2.2 million lower expense level reflects the reductions made last fiscal year primarily in personnel related expenses. Our order backlog was $36.1 million on November 30, 2009 as compared to $43.6 million on August 31, 2009 and $40.1 million on November 30, 2008. Irrigation equipment backlog was up slightly from the same time last year. Our balance sheet has continued to strengthen. Cash and cash equivalents are $63.5 million higher while long term debt has been reduced $6.2 million improving our net cash position by more than $69 million. Accounts receivable decreased $32.5 million from the same time last year due to the lower revenues and improved DSOs. Inventories decreased $28.2 million over the same time last year with significant decreases in both irrigation and infrastructure inventories. Company initiatives remain focused on inventory reductions through the implementation of lean initiatives and on overall cash flow management. In summary, strong revenue and margins for the Mexico City road project partially offset lower irrigation revenues as compared to the same period last year. Globally, farmers continue to remain cautious in committing to capital goods investments, however the first fiscal quarter is generally the harvest quarter and the quarter’s revenues are not a good indicator of next season’s demand. The traditional selling period in the major markets will begin in the later part of January or early February. In the infrastructure market, stimulus funds have been applied to shovel ready maintenance projects versus more significant road widening or new road construction projects which are more likely to use our moveable barrier and crash cushion products. Uncertainty continues to exist on the federal highway funding status. While this uncertainty exists, interest in barrier systems traffic mitigation systems remains fairly strong. Overall, we have responded to these contracted market activities with reductions in our work force and overall spending reductions in all of our operations. During the quarter we realized the benefit of these actions and of the leverage obtained from a sizeable quick move barrier project. In addition we have implemented actions to enhance cash flow through the reduction in working capital which has resulted in a very strong balance sheet. In spite of the near term challenges, we are confident that increasing agricultural yield to boost food supply, improving water use efficiency, expanding bio fuel production and improving our transportation infrastructure will remain global priorities and will be strong drivers for our market long term. Our strong balance sheet has well positioned us to invest in growth initiatives both organic and through acquisitions. I’d now like to open it up for your questions.
Operator: (Operator Instructions) Your first question comes from Ned Borland – Next Generation Equity Research.
Ned Borland – Next Generation Equity Research: I had a question here on infrastructure, could you give us a sense of how the non Mexico City related businesses are doing? Are those businesses sort of stable, are they increasing a little bit with stimulus projects? I know some of these projects have gone forward and they’re awaiting further funding but can you give us a little clarity on that?
Richard W. Parod : I would characterize it as there have been some benefits in other product categories such as the crash cushion from the stimulus funds and the other parts of the business, for example snow line in Italy or diversified manufacturing tubing and things like that are really not affected by the stimulus investments directly. As I mentioned earlier we have seen some decreases in diversified manufacturing revenues but they’re really unrelated to any of the stimulus kind of activity, it’s more tied to some of the contract manufacturing work that’s done except for agricultural equipment providers. But, in general I’d say there has been some benefit in the crash cushion and safety products in the US but for the other business there’s really no impact.
Ned Borland – Next Generation Equity Research: Then on infrastructure margins, is there a way to kind of quantify the Mexico effect here in the operating margin? I would imagine it would be tough to achieve 23% operating margins going forward in that business?
Richard W. Parod : I love those operating margins and I would love to see that every quarter. However, I think you can see from those results the real benefit of significant quick move barrier projects and while we’re really not going to split out the specific margins for that product I’d say that you can really see the leverage of things and it’s important for us to continue to pursue those. As I mentioned earlier, we do still have a pretty significant project list of projects that we’re pursuing with fairly good confidence of achieving those. However, the timing of course is uncertain as to when they will fall in.
Ned Borland – Next Generation Equity Research: Are most of those international or are some of those domestic?
Richard W. Parod : It’s a combination of domestic and international, it really is both. I can’t say that that list right now is bias one way or the other.
Ned Borland – Next Generation Equity Research: Switching quickly to irrigation, the late harvest maybe it impacted sales in the first quarter, would you expect to see those kind of delayed sales show up in 2Q?
Richard W. Parod : Well, I think there’s the opportunity of seeing some of the delayed harvest activity appear in the second Q. However, I think there are some other things that potentially occurred in the first quarter. For example, and this question really came up even in last quarter’s call but it was an extension of the Section 179 benefit or really it’s an accelerated depreciation on the capital goods that expires 12/31 of ’09. So, there’s a benefit that can be obtained for farmer’s to buy equipment and have it installed and operating by the end of the year. I’m sure we saw some benefit from that in the quarter, more than we did in say the previous quarter at the end of the fiscal year. So, I think there’s some offsetting factors there so yes, I think there’s some possible demand that was deferred because of the harvest but I think there was some benefit achieved also from the accelerated depreciation.
Ned Borland – Next Generation Equity Research: Can you just get a sense of pricing in the irrigation?
Richard W. Parod : Well, as I mentioned in the opening comments, pricing quarter-to-quarter sequentially was basically flat. If you looked at it year-over-year from the same time last year, pricing would be down and it’s probably in that 8% range but quarter-to-quarter it was flat.
Operator: Your next question comes from Michael Cox – Piper Jaffray.
Michael Cox – Piper Jaffray: My first question is also on the infrastructure margin profile. If we were to back out the Mexico City project would the margin profile of the remainder of your infrastructure business – and in the November quarter would it have looked different than it has in the preceding four quarters on an average basis or was it stable?
Richard W. Parod : Honestly Mike I can’t say that I’ve looked at it backing out the Mexico project. I would say that there was no other significant change in the quarter of any size other than the Mexico project. So I think the assumption that it looks similar to previous quarters would probably be a fair one. I don’t know of anything else significant other than the Mexico project.
Michael Cox – Piper Jaffray: On the backlog, could you provide the breakout between irrigation and infrastructure and just so I’m clear you take out the component of Mexico City that you’ve delivered and it’s just the remainder I assume?
Richard W. Parod : Yes, Mexico City is out of the backlog in terms of the portion that’s been complete. We are not separating the backlog in total for competitive purposes. I did comment that the irrigation backlog is up slightly from the same time last year.
Michael Cox – Piper Jaffray: Then on your comments about seasonality and revenue build in the January/February time frame, looking back historically 2Q has generally speaking been a bigger quarter than 1Q, would you expect that to be the case this year in the irrigation segment?
Richard W. Parod : I’m not sure I caught the first part of your question but I think your question is, is Q2 likely to be higher revenue than Q1 in irrigation and the answer is yes.
Michael Cox – Piper Jaffray: Then just my last question on how your dealers are approaching this upcoming growing season? Are they making inventory investments, are they approaching it with the same degree of caution that it sounds like you are?
Richard W. Parod : I think in general I would characterize it as dealers approaching on a more normal basis meaning I don’t think they see anything, they’re not pessimistic, they’re not overly optimistic let’s say to the extent that the kind of exuberance they saw back in the 2008 time period when the market was really picking up steam fast but they’re certainly not pessimistic. Dealers typically have not put in much inventory, or any inventory. They may have a unit or two on hand for somebody walking in and being about to obtain a machine quickly but in general I think dealers feel pretty good about the upcoming season. However, as I mentioned, this past quarter has been primarily harvest and it remains to be seen what the next quarter will look like.
Operator: Your next question comes from Brian Drab – William Blair & Company.
Brian Drab – William Blair & Company: First, I know you’re not going to break down the backlog in any detail here but in terms of trends, can you comment on how the irrigation backlog trended from the fourth quarter to the first quarter just directionally?
Richard W. Parod : I don’t happen to have that. I think we have that information here and I’ll get that for you. Irrigation equipment would be up from the end of the fiscal year and as I said slightly up from the same quarter last year.
Brian Drab – William Blair & Company: It sounds like your tone regarding farmer sentiment is the same as it was at the end of the fiscal year, is that fair to say that you still feel like it’s still a normal environment and when you use the word cautious in your press release you’re not indicating that it’s a negative environment just normal but cautious kind of sentiment?
Richard W. Parod : Yes, I think that is a pretty good summation of it. I’m not more pessimistic in any way from where I was last quarter, I think that farmers view this as a fairly normal environment at this time. As I mentioned last quarter, there were a number of things that were really up in the air including the harvest and the carryover in terms of inventory, what yields were going to look like, what the funding environment would be like and just a number of factors that influence it. Some of those we still won’t know until Spring. Now, in terms of the harvest and crop carryovers and things, I think there’s nothing really exceptional out of that so I think from the overall farmer’s perspective, it’s a pretty normal environment.
Brian Drab – William Blair & Company: Then, regarding the 179 policy, I was under the impression that that was very likely going to be renewed in 2010. Is that the right impression or not?
Richard W. Parod : I honestly don’t have that impression. My impression has been that it expires at the end of 2009 and that it will be available to the farmers that have the equipment in and installed at that point. I haven’t heard anything about the extension but given the current economic situation, nothing would surprise me.
Brian Drab – William Blair & Company: Then just one last quick one, on the tax rate in the quarter could you just comment on why that was – I think it was a little higher than people expected it and if so what was driving that?
Richard W. Parod : Well, it was and there was a very abnormal kind of item in it and I’m going to let Dave Downing explain that item.
David B. Downing : It was a previously allowed deduction that we had taken in France and was subsequently disallowed by the EU. We would expect our tax rate for the year to be in the 34% to 35% range.
Richard W. Parod : To give you a further clarification on it that deduction was actually taken by the previous owner of a company that we acquired a number of years before we acquired the company and it was one that was allowed by the French Tax Authority at that time, in fact, encouraged by the French Tax Authority and then later disallowed by the EU. It was quite a surprise when that came about.
Operator: Your next question comes from Ryan Connors – Boenning & Scattergood, Inc.
Ryan Connors – Boenning & Scattergood, Inc.: A couple of question on the irrigation business there, first off just a bigger picture question, one of the things that we watch closely is the irrigated land values the [KC Fed] puts out some good numbers on that and historically they’re a pretty good barometer of the directional trends in your irrigation business and for the first time in a long time irrigated land values actually declined in the third quarter so I just wanted to get your thoughts on that? Obviously, to some extent it’s a symptom of what’s going on but also my understanding is a lot of these loans are sort of collateralized by property, etc. so what’s your take on the fact that irrigated land values seem to be on the decline at least recently?
Richard W. Parod : Well, I haven’t seen the data you’re referring to specifically Ryan but, I’d ask the question did it decline on its own or did it decline relative to other farm land or non-irrigated farm land as well?
Ryan Connors – Boenning & Scattergood, Inc.: Well, the answer is in absolute terms, per acre irrigated land values declined year-over-year in the third quarter I think for the first time in a decade and so I just wanted to get your high level thoughts on that. Is that something that’s worth watching? Again, it seems that the correlation historically has been there.
Richard W. Parod : Well, I think it’s worth watching. I think looking at irrigated land versus non-irrigated land, that relationship is worth watching in terms of value. I’d be surprised if there’s any significant change let’s say in irrigated land decreasing either faster or in any way outside of what the non-irrigated decreases or changes. The reason is because with irrigated land, obviously productivity can be so much higher so that would be a bit of a surprise to have that happen. It is worth watching, we’ll take a look at it as well.
Ryan Connors – Boenning & Scattergood, Inc.: Is it true just factually that a lot of those loans for center pivots would be in at least part collateralized by real property?
Richard W. Parod : I don’t know that it’s collateralized by real property, I haven’t really seen much of that. I’ve seen more of it collateralized with the equipment but I really haven’t seen much collateralized with real property.
Ryan Connors – Boenning & Scattergood, Inc.: Then just a separate issue Rick, in terms of a lot of these governments are in obviously tough positions and I’m wondering whether internationally has there been any change, i.e. cutbacks in any of the subsidy programs? I know you’ve talked a lot in the past about the Brazilian program, the [phenome] program for example, has there been any downward pressure on any of those government programs backing irrigation technology?
David B. Downing : A couple of things, one is the [phenome] program, the 4.5% interest rate was just recently extended by the Brazilian government through the first half of 2010 which is positive. We’re also seeing continued support in China for example in terms of the direct subsidy programs they have there.
Operator: Your next question comes from Paul Mammola – Sidoti & Company.
Paul Mammola – Sidoti & Company: Obviously you’ve done a good job on costs but can we assume, especially in the near term that the cost structure is stable or are some variable costs starting to come back in 2Q would you say?
Richard W. Parod : I would say the cost structure in general is pretty stable. I think the one caution I made was that we did see and have seen steel prices start to move up. I think the steel is likely to move a little bit further in future periods whether it’s the next month or quarter. Now that said, our general practice has been to hedge steel when we see steel prices starting to rise. So if steel is stable or falling, we’ll generally hold and be able to buy at market but as we see steel start to increase we’ll have hedge buys that will generally cover up to 75% or more a quarter. That way we’re locking in steel at some beneficial prices. We’re generally able to also pass those through in price.
Paul Mammola – Sidoti & Company: Typically I think you’ve said center pivot sales come from replacement, conversion and expanded acreage. I guess I’m curious, what do you think has hurt you the most and what might have the most potential for this year and next in terms of those categories?
Richard W. Parod : I’m not sure I understand the question. If you’re asking one of those in particular has changed or if there’s something that has hurt in particular one of those?
Paul Mammola – Sidoti & Company: Well, I guess which one has been the biggest drag and as you look at fiscal ’10 and fiscal ’11 what provides most opportunity in your eyes?
Richard W. Parod : Well, I think the way I’d characterize it is that in general historically looking over a five to seven year period, we’ve seen that split be fairly even to about a third, a third and a third. If you go back to 2008 when commodity prices really ran up fairly fast, we saw the percentage that was going in to dry land, putting irrigation in for the first time, really rise quicker which was not unexpected because the benefit of going to irrigated to non-irrigated land was significant in terms of yield and profit improvement for the farmer so that one jumped up. What we’ve seen when prices are fairly stable is it tends to go back to the one third, one third, one third. Now, long term there’s certainly the belief that the replacement will become a bigger percentage but I think that’s when the market hits more of a maturity level. I think there was an interesting bit of facts and in fact, we’ve included it in the slide deck this time which was the USDA published their farm and ranch irrigation survey for 2008 which is a five year review, they put that out every five years. If you look at it, I think the interesting statistics in this one is the most common method of irrigating in the US has been gravity irrigation. Going back to 2003 it was 44% of irrigated land which I believe was 53 million acres at the time, 44% was gravity irrigated, 41% pivot and the most recent information that came out in 2008 that was just published, gravity is now 39% and pivot has moved up to 46% and the acreage that is irrigated has also moved up to $55 million. So, we’ve seen growth in irrigated acres, we’ve seen growth in pivot versus other irrigation methods and certainly there’s been replacement as we’ve talked about in the past. So all of those are continuing to grow.
Paul Mammola – Sidoti & Company: So if you look at the conversion piece on an international basis do you still think that penetration wise center pivot is under 5% in some of the developing regions?
Richard W. Parod : Yes. We’re still seeing that the majority of the pivots that we’re selling in to the international I would probably characterize more as going in to dry land than I would conversion. Conversion would be second and replacement is a distant third.
Paul Mammola – Sidoti & Company: Finally, in China along the same lines, is there anything that you can point to that you’re doing there to try and get farmers to warm up to center pivot as opposed to the old methods that they’ve used for hundreds of years?
Richard W. Parod : I think the primary and what you’re really getting to is the question of how do you stimulate demand in that market. I think the answer is that we have stimulated demand by picking the regions that were most likely and probably for putting in pivot or mechanized irrigation systems and that mean generally large acreage, larger farms with crops that are typically the ones that you’re going to find under pivots and frankly, there’s a lot of that in China. So, we focused on those regions and made some early successes with large farmers and since then had the government subsidies that have been applied supporting famers to make that conversion. One of the things we’ve found in time is that the more of the machines we get in the more comfortable the farmer next store becomes with the equipment and the mechanized irrigation as well and the more likely to change. Now, the other obstacle that we’re going to face in China will really be the size of land in certain regions and the type of farming that is taking place. It will be a longer term process in terms of conversion there meaning farms will likely consolidate before mechanized irrigation is installed.
Operator: Your next question comes from Jason Kraft – Cato Partners.
Jason Kraft – Cato Partners: A question for either Rick or Dave, with most of the Mexico City order out of the way, I’m trying as well many other investors are probably trying to gage for modeling purposes what the core recurring EPS is for the company. Given the gross margin profile for the core infrastructure and the international domestic irrigation segments, I calculate $0.37 of contribution from the Mexico City project in the quarter out of what you guys reported of $0.53. I’m wondering if you can confirm that EPS contribution from the Mexico City deal for the quarter and that $0.15 to $0.16 delta is possibly the quarterly run rate we should be thinking about for the core recurring biz throughout this fiscal year? I have one follow up too.
Richard W. Parod : To kind of jump on that I would say first, for a number of different reasons we really don’t split out the Mexico City contribution and I think for competitive purposes as well as a number of other reasons we really won’t get in to splitting that part out. Needless to say, it did make a significant contribution in this quarter and there is still part of that project left. I can’t tell you whether your estimate is right or not I’d just say that we really can’t split that out.
Jason Kraft – Cato Partners: Can you talk to the domestic irrigation seasonality through this fiscal year? I know you mentioned that irrigation revenue should be up this quarter but if we look at the past and kind of excluding 2008 as kind of the super boom year, what fiscal year should we look at historically to model seasonality for the irrigation line this year?
Richard W. Parod : I’m not positive I would know what specific fiscal year would be the best model. I would look at probably maybe 2004 to 2007 area and look at those in combination in terms of the seasonality. But, there are other things that have impacted it. Now, if you separate out the US market you’ll get a pretty good picture of that but we also increased our international market penetration during that time which can skew irrigation in total. But, if you look at it from a US perspective, you can probably get a decent view of that seasonality. Just to explain it a little bit further, this is the slower season. The first quarter is when it is generally harvest. The second quarter we’ll usually see it pick up towards the middle or end of the quarter and that’s when farmers will be buying or pre-buying in anticipation of planting and trying to get the equipment in to the field. So in general in the Northern Hemisphere you’re going to see the equipment being sold in that January/February of March/April/May time period. After that it really becomes too late because they will have planted and you’re really not going to see much going in to the fields after that time period other than replacements or other special situations.
Operator: Your next question comes from Steve Gambuzza – Longbow Capital.
Steve Gambuzza – Longbow Capital: I just wanted to ask about your comment on pricing and the hedging policies you have in place. Did you say that year-over-year prices in the last quarter were down about 8% for irrigation products?
Richard W. Parod : In that range, yes that’s correct.
Steve Gambuzza – Longbow Capital: And that effectively just represents the kind of change in the market price of steel during that time period?
Richard W. Parod : I would say that’s a fairly true perspective because what we’ve seen is margins hold fairly well in irrigation and steel did come down and many of those decreases in steel were then passed through to customers. So generally I’d comment as well that we do not lead in terms of price reductions in the market, it really depends on the market conditions and as a competitive environment at times we’re forced to take that action.
Steve Gambuzza – Longbow Capital: How far out do you hedge steel? Do you go out a quarter or more than the quarter?
Richard W. Parod : It will vary depending on what we see happening in terms of pricing and opportunities but our general practice has been to be in the range of 75% of the next quarter and not much further than that and generally not further than that.
Steve Gambuzza – Longbow Capital: So your statement earlier that you expect prices on steel to go up, that probably reflects the fact that you’ve hedged a good portion of your expected sales in the next quarter at higher steel prices?
Richard W. Parod : Yes, you can expect that that means we are currently hedging, we have buys in place and maybe there will be more buys but we are currently hedging steel or buying forward on steel as the opportunities arise.
Steve Gambuzza – Longbow Capital: Can you just give me a sense because I know you guys report FIFO and just kind of the convert, the time line between when based on normal inventory conversion, when kind of the market if you buy steel today at market price, kind of how long it takes to recycle that steel through your P&L?
David B. Downing : We generally do that on a real time basis. Our LIFO because our inventory has a real seasonality we generally watch that pretty closely and make an adjustment in the fourth quarter and not quarterly.
Steve Gambuzza – Longbow Capital: But your FIFO is quarterly, it’s FIFO inventory counting, correct?
David B. Downing : It’s generally coming through the income statement on a real time basis, yes.
Operator: Your next question comes from Michael Coleman – Sterne Agee.
Michael Coleman – Sterne Agee: On the irrigation for the international I was thinking back a year ago I would have expected some divergence in that year-on-year revenue mix. I was wondering if you could just kind of talk to domestic is down 39%, your international is down 37%, at what point do those two diverge in terms of its growth as I expected the international would be down kind of less than domestic?
Richard W. Parod : If I believe I understand your question I guess the answer would be I wouldn’t read too much in to the change that you see in the first fiscal quarter for irrigation either domestic or international or the correlation of the two because as I said it is a low quarter, this is generally harvest quarter except in the areas of the southern hemisphere so I would read too much in to it to indicate that they’re really the same or that there’s anything different that’s happening there. We still see significant growth opportunities in the international market. Some of those however, have been impacted by potential funding or funding availability and that would be primarily the more developing markets, however the other international markets, they still have strong drivers and we still see good potential there. So, I would read too much in to it at this stage.
Michael Coleman – Sterne Agee: On the seasonal question, regarding the international revenues, I guess I was under the impression that your first fiscal quarter is your strongest internationally. Do you think that seasonal pattern has changed or has been disrupted?
Richard W. Parod : No, I don’t think there’s any change or disruption to the seasonal pattern. I think that in the international markets, what we have seen and this particularly would apply to the export markets, what we have seen is it’s often very project oriented meaning an order might come in of significant size and it’s difficult to project or read in to anything from the timing of those orders. So, it’s a little more project oriented on the international export side. In the areas where we have our international business units, that flow is I would say progressing in a pretty traditional manner at this point and there’s no real change there.
Michael Coleman – Sterne Agee: You talked about your backlog being up slightly year-over-year implying sequential growth. The order growth that you’re seeing in irrigation is it more heavily weighted towards domestic versus international at this point?
Richard W. Parod : No. I don’t believe there is a more heavy weight in that. I’m just going to take a quick look at one piece of information here. I think from a backlog standpoint there’s probably somewhat more growth in say the domestic side of the irrigation year-over-year. It’s very flat all the way across the board so year-to-year comparison I would say you really can’t read anything in to it. It’s really pretty flat from a backlog standpoint with both international and domestic.
Operator: Your next question comes from the line of [Omar Havez] – SunTerra Capital.
[Omar Havez] – SunTerra Capital: You’ve addressed it in a number of different ways and I just want to ask a more specific follow up on steel pricing and product pricing for the quarter. Could you quantify maybe the benefit you had or if there was a benefit at the margin line vis-à-vis the maybe lag, if you had prices down in the quarter on your purchases versus what you were able to sell products at? You said margins were flat but I’m not sure if there was a benefit that you could put in to numbers for us?
Richard W. Parod : I don’t have a specific benefit amount to put in to numbers but I would say that towards the end of the quarter, particularly where our buy would have been below the spot market price, I’m not sure that is significantly different than what a competitor would have which means the competition may have been around that same point from a price standpoint as well. So, I’m not sure I could quantify a specific dollar amount tied to any benefit.
[Omar Havez] – SunTerra Capital: In terms of pricing, do you still see discipline holding up? I think over the last couple of quarters the comment has been that generally things were holding in. Do you still see that in the US, that competitors are acting very rationally?
Richard W. Parod : Yes, we have. It’s always difficult when you see rising material costs to I guess respond to that in some respects because you never know how fast one is going to raise price or how fast they’ll see cost increases versus another but in general I’d say we’re seeing very good pricing discipline for many quarters now.
Operator: There are no further questions at this time. Mr. Parod do you have any closing remarks?
Richard W. Parod : For our business overall the global long term drivers of water conservation, population growth, increasing the importance of bio fuels and improvements in infrastructure remain very positive. In addition to the overall business enhancements that have taken place, we continue to have an ongoing structured acquisition process that will generate additional growth opportunities throughout the world in water and infrastructure. We thank you for your questions and participation in this call and wish you all a safe and happy holiday.